Operator: Good day. Thank you for standing by. Welcome to Patria's Fourth Quarter and Full Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Josh Wood, Head of Shareholder Relations. Please go ahead.
Josh Wood: Thank you. Good morning, everyone, and welcome to Patria’s fourth quarter and full year 2022 earnings call. Joining today are our Chief Executive Officer, Alex Saigh; our Chief Financial Officer, Ana Russo; and our Chief Corporate Development Officer, Marco D’Ippolito. This morning, we issued a press release and earnings presentation detailing our results for the fourth quarter and full year 2022, which you can find posted on our Investor Relations Web site at ir.patria.com or on Form 6-K filed with the Securities and Exchange Commission. Any forward-looking statements made on this call are uncertain, do not guarantee future performance, and undue reliance should not be placed on them. Patria assumes no obligation and does not intend to update any such forward-looking statement. Such statements are based on current management expectations and involve inherent risks, including those discussed in the Risk Factors section of our latest Form 20-F annual report. Also note that no statements on this call constitute an offer to sell or a solicitation of an offer to purchase an interest in any Patria fund. As a foreign private issuer, Patria reports financial results using International Financial Reporting Standards, or IFRS, as opposed to U.S. GAAP. Additionally, we will report and refer to certain non-GAAP industry measures, which should not be considered in isolation from or as a substitute for measures prepared in accordance with IFRS. Reconciliations of these measures to the most comparable IFRS measures are included in our earnings presentation.  On headline metrics, Patria generated fee-related earnings of $35.3 million and distributable earnings of $53.3 million or $0.36 per share for 4Q '22. We declared a quarterly dividend of $0.308 per share payable on March 22 to shareholders of record as of March 1. For the full year 2022, fee-related earnings were $130 million and distributable earnings were $147.1 million, or $1 per share, bringing cumulative dividends to shareholders to $0.85 per share for the full year. With that, I'll now turn the call over to Alex.
Alex Saigh: Thank you, Josh, and good morning to everyone joining today as we close out our second year as a public company. Patria generated strong results in the fourth quarter of 2022, and again demonstrated our ability to deliver on our earnings guidance from the beginning of the year. In 2022, this required performing amid a backdrop of uncertainty and transition across the globe, and conditions that caused many companies to fall short or adjust expectations. We continue to execute on our growth plans and strategically position the firm to achieve our ambitions in the coming years.  We generated $147 million of distributable earnings or $1 per share in 2022. The resulting $0.85 in dividends per share would give a shareholder who bought the stock at the beginning of the year a 5.2% annual yield. With fee-related earnings of $130 million, we delivered on our annual growth target of 50%, highlighting the resiliency and predictability of this earnings stream, even in a challenging environment.  We've demonstrated real progress on the divestments of our mature drawdown fund portfolios. Our third generation infrastructure fund reached the threshold with crystallized performances, realizing $19 million net in Q4, following the exit transactions of ODATA, our data center platform, and Entrevias, one of our toll roads in Brazil.  While it was a challenging year across our industry on the fundraising front, we raised $3.1 billion and including acquisitions totaled 4.5 billion in overall inflows. While timelines have lengthened in areas like private equity, we are also seeing strength in areas like infrastructure, where we now see a larger first closing for the next flagship fund in early 2023 versus a smaller one at the end of 2022.  We clearly shared our aim to grow the platform through M&A and following our major transaction with Moneda in late 2021, we have continued that effort in 2022 through our transactions with Kamaroopin in growth equity, VBI in real estate, and more recently Igah in the venture capital space. We have also made great progress in our corporate areas, making systems and process improvements, hiring key talents, and creating a scalable framework that makes us a better public company, and also facilitates smooth M&A integration as we continue to grow.  We closed the year with our first PAX Investor Day event in December, where we gave a comprehensive showcase of our platform and people as well as an update of our multiyear outlook. Namely, our targets include reaching 50 billion of AUM and 35 billion of fee-earning AUM by the end of 2025, driven by 20 billion of total new capital formation from 2022 through 2025, growing fee-related earnings to 200 million to 225 million by 2025. And with significant realization of performance fees from our mature drawdown funds, we believe we can roughly double our equivalent distributable earnings per share over the next few years compared to the prior three years.  Our accomplishments in 2022 provide a great start. And now we must continue to build momentum in 2023. As noted at our Investor Day, we anticipate fee-related earnings growing to 150 million in 2023. This year should also see the bulk of fundraising for our flagship drawdown funds as we continue to fundraise for private equity and look to raise a substantial portion of the next infrastructure development fund.  We also expect meaningful contributions from new drawdown fund products like our infrastructure credit and growth equity funds, and a host of perpetual products with continuous fundraising. Overall, we are aiming towards 5 billion to 6 billion of organic inflows this year, not including the potential inflows from M&A activity as we track towards the longer term capital formation target.  Let me now spend a moment on the macro front and then give some color across the platform. Latin America navigated well through the distress in global financial markets last year. On top of better terms of trade, higher domestic interest rates, lower fiscal deficits, and reduced geopolitical risk, long-term trends such as near-shoring or friendly shoring by U.S. and European firms, led to larger net capital inflows to the region last year.  In Brazil, it happened through traditional ways, a large trade surplus of $62 billion and robust foreign direct investment of $90 billion or approximately 4.8% of the Brazilian GDP. In Mexico, the region's second largest economy, it also took place through unconventional channels. Mexicans working abroad set a record $58 billion or approximately 4.1% of the Mexican GDP to their homeland. Latin American exchange rates generally strengthened in 2022, while most of global currencies depreciated against the U.S. dollar, and equities generally outperformed peers in emerging markets and advanced economies alike.  The local dynamics have been a bit more complex in our region. The larger Latin American nations elected center-left administrations in their latest election cycles. And like in the U.S. these days, these governments have ambitious ESG agendas that call for additional public spending. Because there is a commitment to preserve fiscal discipline, the only feasible way to deliver on the promises is to increase the tax burden, which, along with a more biting [ph] environmental regulation, should have adverse impacts on certain industries.  But then, the fundamental framework of solid institutions, independent central banks, and legislation that is friendly to private investments stands out in the region. It also helps that the elected legislators are more conservative, maintain a crucial check and balance to excesses of state activism by the executive branches. Assuming that the worst of the adjustment of economic policies in advanced economies is behind us, the external outlook bodes well for Latin America in 2023. Even expecting noise from government's domestic actions and thus some headwinds for economic growth this year, the combined scenarios should gradually become net positive and lead to larger capital flows to the region.  Operating in any environment, Patria has an edge in the region because of our ability to attract top homegrown talent and the diversity of our platform. We now have more than 30 products across five asset classes, accessing a full spectrum of distribution channels, allowing us to be more opportunistic in our approach to both investing and raising capital.  Now looking across our asset classes. In private equity, our portfolio continues to perform well. With the most recent vintage flagship funds five and six generating net IRR of 21% and 15%, respectively, in U.S. dollars. The portfolio remained very active in 2022, completed 29 M&A transactions with 30% year-over-year organic EBITDA growth and 57% if you include the impact of acquisitions. The divestment cycle for our mature funds remain a major priority in 2023, and we have made some positive steps towards liquidity in several portfolio companies. Our next vintage flagship firm has been in the market during a difficult 2022, raising more than $1 billion which we have already started to invest. We are optimistic about gaining traction as the calendar rolls over to 2023 and expect to continue on the fundraising trail until the end of the year. This vertical has diversified into growth equities through Kamaroopin, with our first fund together in the market now and being seated with four outstanding portfolio companies. And as we recently announced our acquisition of Igah, that very talented team will begin raising their fourth venture fund, and our first together during 2023.  In infrastructure, the big story here was divestment. As we announced exit for ODATA, our data center platform, and Entrevias, one of our toll roads in Brazil in Q4, which will generate proceeds of more than $1.4 billion to fund investors. Both of these investments were made from Infrastructure Fund III. And as we announced previously, the recent exit activity moved this fund through the performance fee realizations threshold, allowing us to recognize $90 million of net realized performance fees in Q4. Fund III continues to perform well with a net IRR of 13% in U.S. dollars and a net performance fee accrual of $129 million, which importantly, we can now continue to monetize with each subsequent exit event. Divestment activity like this one also gives a boost to our fundraising process for the next generation fund, which is approaching a first closing in the next few months. Our most recent fourth vintage fund is also showing great early performance with a net IRR of 17% in U.S. dollars. And we continue to pursue expansion of our infrastructure core offering where we now have both listed and unlisted vehicle focus in Brazil. Our credit strategies had a strong 2022 performance relatively to their respective benchmarks, with LatAm corporate high yield outperforming by 260 basis points, and LatAm corporate local currency by more than 100 basis points.  Most notably, our local currency credit strategies had positive returns in U.S. dollars in a year that saw the Bloomberg Global-Aggregate Index down more than 16%. It was a very challenging year for fund flows with the shift to higher policy raised around the globe, but we see macro headwinds diminishing as we move further into 2023 and historically high yield levels present an attractive opportunity to invest in Latin American credit.  Our open and perpetual products are well positioned to capture increased client demand. And we also expect to see inflows from new drawdown fund products like our infrastructure credit fund, which has already secured backing from two institutional anchor investors. In public equities, investment performance was solid in 2022 and notably impressive in the Chilean small cap strategy where the [indiscernible] fund outperformed its benchmark by nearly 12% for the year.  Despite great performance, some of the same forces impacted credit funds also drove Q4 outflows from Chilean investors in our public equities product. While these redemptions were related to the general reduction of allocation by domestic institutions to local funds, we believe investment performance will ultimately be the driver of flows as we look forward in 2023. Finally, in real estate, VBI, our platform in Brazil, generated more than $20 million of inflows in Q4, including the launch of a new unlisted real estate credit product, demonstrating their capacity to innovate and offer investment opportunities across the capital stock. Real estate continues to be an area where we have an attractive opportunity to expand both organically and inorganically. All-in-all, we feel like the platform is well positioned to capture opportunity in each of these verticals and we look to solidify our place as the gateway for alternatives in Latin America.  Let me now turn the floor to Marco and Ana to cover the results in more detail. And I'll come back for some closing thoughts. Marco?
Marco D’Ippolito: Thank you, Alex. As planned, we have transitioned the CFO role to Ana Russo effective as of the beginning of this year, but we will accordingly cover the 2022 results, and then turn over to Ana for commentary as we look forward. Rest assured, you will continue to hear from me as I will remain highly involved with our shareholders relations effort from the executive level.  We generated $35.3 million of fee-related earnings in fourth quarter '22, up 20% compared to fourth quarter '21 and 130 million for the full year 2022, up 51% from 2021 and reaching the guidance we’ve reiterated throughout the course of the year. Total fee revenues of $227.1 million were up 55% in 2022 compared to the prior year, supported by 52% growth in management fee revenue as well as higher transaction and other fee revenue. Of the 52% management fee growth, approximately 38% was generated by the addition of Moneda and VBI to our platform, with a reminder resulting from the organic growth driven primarily by deployment in our drawdown fund.  Operating expenses increased 61% year-over-year, driven primarily by the addition of Moneda and VBI as well as increased costs related to public company functions. Our FRE margin remains in the 56% to 58% range for each quarter in 2022, slightly higher than our expectation, demonstrating our ability to maintain consistent margin levels following a major acquisition. We generated $19 million of performance-related earnings in fourth quarter '22 and full year 2022 from the first realization of performance fees in our Infrastructure Fund III.  While this compares to 58 million in 2021, it's worth noting the different circumstances. Our 2021 PRE came from the final exit and realization in our Private Equity Fund III, meaning no additional performance fees coming from that fund. In 2022, however, we are seeing just the beginning of the performance fee stream from the Infrastructure Fund III, a fund with still 129 million in net accrued performance fees as of the year end.  Now that we are through the phase of returning capital and hurdle, we will expect subsequent exit event for this to generate realized performance fees for shareholders. Distributable earnings were $53.3 million or $0.36 per share for fourth quarter '22, up from 27.7 million or $0.19 per share in fourth quarter '21. For the full year 2022, distributable earnings of $147 million equates to $1 per share, closely in line with $1.02 per share we delivered last year. So overall, the year-over-year dynamics for DE [ph] are higher FRE, in line with our guidance, offset by the lower performance fees and additional shares related to our transaction with Moneda.  As Alex noted, the 2022 total dividend of $0.85 per share delivers a yield of more than 5% to an investor who bought our stock at the beginning of the year. For an investor in our IPO, the 2021 and 2022 dividend combined delivered a cumulative two-year yield of more than 10%. We believe a very nice income stream to compensate the headwind we’ve seen on valuation in our sector and across the equity market.  Turning to AUM. Our total AUM of $27.2 billion is up 14% from one year ago, driven by the 4.5 billion of organic and inorganic inflows previously mentioned. Looking by asset class, private equity AUM increased 21% on the year, driven by the ongoing fundraising for our [indiscernible]. Infrastructure increased 15% driven primarily by strong portfolio appreciation. And real estate grew by nearly 1 billion through the transaction with VBI.  Fee earnings AUM ended the year at 19.2 billion, up 7% from one year ago, with inflows from drawdown fund, deployment and M&A partially offset by the redemption pressure in credit and public equities, as well as the end of the contractual fee term in our second infrastructure fund. After delivering strong performance in a challenging year, I see our platform and business well positioned to deliver on our multiyear goals.  On that note, let me now turn to Ana for some comments as she takes the CFO reign looking into 2023.
Ana Russo: Good morning, everyone. I'm thankful for Marco and the team for onboarding me during this transition period. I'm looking forward to engaging with all of you. As we bring a successful '22 to a close, we look forward to our task of executing on 2023 and the next few years as we discussed with you at our Investor event. Our top line outlook remains very strong, even in the current perspective of the world economy and challenges facing our sector. And our footprint and diversification position Patria for attractive growth.  As Alex noted, we are targeting to grow FRE to $150 million in 2023, while maintaining a similar margin to 2022 in the high 50% range. Much like 2022, we have at this point good fee revenue visibility based on where we begin the year and our expected deployment pace. We do expect the revenue and therefore the fee-related earnings to ramp over the course of the year in contrast to the more steady FRE results we saw over the four quarters of 2022.  Given factors such as the holiday for the first closing [ph] our new private equity fund, we expect FRE in the first quarter of 2023 to be similar to the run rate level we saw in 2022, excluding the impact of incentive fees into Q4 and then ramping up through the rest of the year. As of December 31, our net accrued performance fees stand at $462 million, up 33% from one year ago and that's after realizing $19 million in the fourth quarter.  At more than $3 per share, this accrued is predominantly supported by mature portfolios in private equity Fund V and Infrastructure Fund III with more than 80% of the accrual in those two funds. These funds are positioned to divestment and we have already seen that in action for infrastructure at the end of the last year. We think about performance fee realization over cycle, not individual years. As we noted at Investor Day, we would expect to realize 50% to 80% of the accrual in those two funds by the end of 2025.  As we progress in integrating our written M&A transaction, we are focusing on standardizing and automating back office process, streamlining through systems and ensuring efficiencies throughout the organization. This will be crucial as we pursue a high rate of growth and we enable Patria to mitigate inflationary pressure, reinvest in the business and maintain current margins with continued high standards of controlled environment. The future for Patria is bright, and I'm thrilled to be part of the journey.  Let me now turn back to Alex for some closing remarks.
Alex Saigh: Thanks, Ana. Altogether, we're very pleased with the firm's performance in 2022. While it was a year of headwinds in our industry and challenges across the globe, we believe the stability of our business model and talent of our people are the key drivers of our resilience and success. We have set ambitious goals over the next several years, and I'm confident we have the right team and resources in place to deliver on the targets.  Delivering on 5 billion to 6 billion of fundraising and 150 million of fee-related earnings this year will have us well on the path to our 2025 goals. And we expect to continue to be active on the M&A front. We believe we are uniquely positioned to be the gateway for alternatives in Latin America. And with success in that endeavor, we can deliver significant value to all of our stakeholders.  We're now happy to take your questions. Thank you.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Mike Brown with KBW. Your line is now open.
Michael Brown: Great. Hi. Good morning, everyone.
Alex Saigh: Good morning, Mike. How are you?
Michael Brown: Good. Thank you. I wanted to start on the fundraising commentary. So I thought that was certainly positive that you guys are targeting 5 billion to 6 billion of inflows for 2023 and you gave a lot of great commentary on the call. Could you just maybe dimensionalize that a little bit here? I know you don't have a crystal ball. There's a lot of moving pieces in the market. But what would be the main drivers there if you had to kind of split that organic inflow number up a bit?
Alex Saigh: Hi, there. This is Alex. And thanks for participating and thanks for your question. I think it's hard to give a specific detailed guideline. As you mentioned, we have several moving parts and the market is adjusting itself. What I would say in general terms that the infrastructure and credit related products are now easier if you can say that expression that's fundraised today. And I think the equity related products are harder to fundraise in this current environment. Of course, kind of what I'm going to say now, the interest rate environment does affect this specifically what I just mentioned, equity related products, harder to fundraise, no fixed income, no infrastructure like products, easier to fundraise. So we're on the road, as you know, with infrastructure Fund V and private credit, infrastructure credit, and some other credit products. And those I think might be the big chunk of those 5 billion to 6 billion. Of course, we have a fantastic track record on the private equity. And as mentioned, we feel confident that as we move into 2023, we're going to be able to reach our targets there, the flagship fund. We're also on the road with our venture capital fund and our growth equity fund, and we will hit our internal target there as well. But of course, it's taking more time on the equity side in general and on the public equity side as well. So all of these moving parts in the end I think we'll get there on the drawdown funds as mentioned on the 5 billion to 6 billion target. But fixed income related I think will be more of a chunk of the next fundraising and a lot of drawdown funds in that bucket, as mentioned infrastructure Fund V, private credit fund II for Brazilian investors, infrastructure credit fund I also for international and Brazilian investors, a LatAM private credit fund also that we are raising that will target Latin America as a whole on the private credit side, plus the real estate permanent capital vehicles, and infrastructure permanent capital vehicle. So that's more of where we see things going. Again, I think when we look into the number of general -- total $20 billion capital formation that we gave as a guideline in our PAX Day in December from '22 through '25 having raised organically and inorganically close to 4.5 last year and having another 5 billion to 6 billion this year, now puts us in a very, very good position to reach the 20 billion target capital formation by '25. So I think we know we feel comfortable, far from easy, as you know, but I think we feel very comfortable that we'll get there. But I think a different kind of profile of products. I hope I answered your question.
Michael Brown: Yes. Thank you, Alex. That was great. Thank you. If we can maybe double click in a little bit on the infrastructure side here. So clearly investor demand is very strong for that asset class. When we think about PAX, can you just help us understand a little better how do you differentiate your infrastructure strategies versus some of your larger global peers that also invest in the LatAm region? How does PAX approach infrastructure differently?
Alex Saigh: Okay, and thanks for your question again. Within our infrastructure vertical, I think we have our flagship fund. As I mentioned, we're raising right now our infrastructure flagship number V. The strategy or the differentiator of that fund, the strategy that makes that fund or family of funds very different is the fact that we take on development risk. And we have dominated that. And I think that's why we do continue to perform extremely well. As mentioned also during the call and also doing some of our earlier calls late last year, the divestments of two great companies that we had in our infrastructure fund III. And what does it mean taking development here? Now in the end, what we do is pretty easy to explain. I think it's harder to execute. We do win an auction or we buy an asset, we then take the risk of that asset by taking the development of that project, and then we sell it. So we buy the risk itself and we derisk mainly through development of that asset, because it can be a greenfield. When you win a concession of a new power project, for example, where we can buy a small brownfield and then develop that to create a larger asset. An example of the data center business that we just sold late last year and we started from scratch, we actually bought a piece of land. We constructed our first data center in the outskirts of Sao Paulo here in Brazil. And from there, we created over 60 megahertz company now with potential to expand to 100 this year, and we have pent-up demand already, signed contracts to bring this company to 400 mega and we sold it and we made over 4x our money there in U.S. dollars. So that's an example of beginning our thesis from scratch and taking on the development risk and then creating this LatAm platform and selling it. We did the same with toll roads that we just sold to an international global player, strategic global player, toll road that we had here in Brazil. In this case, we won the concession we took on the development risk that came with the concession of expanding duplicating parts of the highway, creating new toll plazas and blah, blah, blah. And two years later, we had derisk -- the main portion of the CapEx needed to modernize that toll road. And then we sold a portion of that toll road to this international player. In this case we’re going to see a global player in the toll road space, and they now actually represent their entrance in the toll road space in the Brazilian market. So taking that development risk that we do dominate makes us differentiate ourselves. I think most of the international players that you mentioned, they buy mature assets in the region that are already performing. We sold our data center company to another global data company sponsored by a major infrastructure fund. And they are buying our mature assets already. And of course, they're going to take it to a different level. But it's already a developed asset, already grown from scratch, as I just explained, the case of this international toll road player is the same. They are buying also a toll road in the state of Sao Paulo that, as I mentioned, we took on the development risk and sold that toll road already as mature asset. And that's what we do well. And I don't think the -- I'm generalizing, but most of the infrastructure funds that do play Brazil, they take that development risk besides one or two players. So on the other strategies that we have within the vertical, we have also a core infrastructure product. And there we do -- we don't take the development risks there. But of course, we focus more on the yield side mostly for Brazilian investors up to now. We plan to also have these core infrastructure funds in other countries in Latin America, like Chile, Colombia and Mexico. We also now have infrastructure credit, which is a very interesting product that we have already anchored by two major institutional investors. But the flagship strategy differentiator is the development nature, development angle that I just explained. Again, I hope I answered your question there.
Michael Brown: Yes. Thank you for all of that color, Alex. I appreciate it.
Operator: Thank you. And our next question comes from Ricardo Buchpiguel with BTG Pactual. Your line is open.
Ricardo Buchpiguel: [Indiscernible] by the performance fee-related booking in the quarter given the generalization of performance fee if OpEx was still pretty much flat for the quarter, right? So can you please explain what has happened with this line and efficiency, the margins of the related FRE actually similar in the following quarter? Thank you.
Marco D’Ippolito: Ricardo, your voice --
Alex Saigh: This is Alex again here. Marco, do you want to take this question.
Marco D’Ippolito: I'm not sure I got the full -- just confirm to me if I got the full question because the voice came in a little bit broken up. The question is about overall margins and also income tax. Is that -- those are the two components of the question.
Ricardo Buchpiguel: No, sorry. We just saw that the OpEx were pretty much flat despite the performance of fee related booking in the quarter. So I am trying to understand what drove this better performance and exactly if you can normalize this level of OpEx for the following quarter? I’m not sure if you heard me now.
Marco D’Ippolito: Okay. So let's first differentiate the two kinds of expenses, the expenses related to the carry. You're going to find that below the FRE on the carry interest on location and bonuses for the quarter, which is 10.2. So that ties to the 29.1 that you see for the quarter which is completely different from the personnel and admin expenses that you see on the top. The 58% margin is what -- it's in sync with the overall margin for the year. It is slightly above what we have indicated throughout the quarters during the last year, we indicated in the mid 50s. And we are ending up slightly higher than that. We're gaining some margin on personnel expenses throughout the year. And we were losing a little bit of margin on the admin expenses due to some of the fixed cost associated with the acquisition of Moneda that had a lower margin, a lower overall margin. But overall, we can say that we're happy with the margins and with the progress of the expenses in a year where of course inflation hit very strong.
Ricardo Buchpiguel: Very clear. Thank you.
Operator: Thank you. Our next question comes from the line of Beatriz Abreu with Goldman Sachs. Your line is now open.
Beatriz Abreu: Hi, Alex, Marco, and Ana. Good morning. Thank you for taking my questions. First question would be on the FRE guidance of 150 million for 2023, which implies a 15% increase from 2022. Could you tell us how much of that growth do you expect to come from organic growth versus how much coming from inorganic growth if any? And a second question, if I may, would be on the real estate strategy. So this was a segment that you expect it to grow the most in fee AUM by 2025, if I'm not mistaken. So if you could give us some color on the segment’s outlook for 2023 and what kind of growth you're expecting, that would be great? Thank you.
Alex Saigh: Hi, Beatriz. This is Alex. Marco, do you want to take the first question? And I'll take the second please.
Marco D’Ippolito: Sure. So Beatriz, we don't provide the distinction between what is the FRE organic and inorganic. I think what you can have as a reference, as Alex indicated in the call, is he guided on the 5 billion to 6 billion of accretion of capital, and that's all organic accretion, if you will. So this is not encompassing any sort of accretion that is coming from acquisitions. I confirm that we will remain active on acquisitions. And the other data point, if it's worth, is that last year, the accretion of fee paying AUM inorganic was in the vicinity of 1.4 billion out of the total $4.5 billion.
Alex Saigh: And going to your second question, and then I'll ask if we did answer most of them, Beatriz. This is Alex again. Yes, we're very excited with the whole real estate expansion of our product lines and, of course, our general AUM. More specifically I think in Brazil and countries like Chile and Colombia where we're looking into this very closely. In Brazil, we did an acquisition, as you know, called VBI. But I think to say [ph] very interesting consolidation play on the REIT side and we're looking into that very closely. And VBI has been very active, looking into that as well. We have within the Brazilian context a R$220 billion REIT market, which are these listed Brazilian real estate trusts are listed in the Brazilian Stock Exchange, B3 as you know, and you have several listed REITs in the Brazilian Stock Exchange that are basically a single asset REIT or very few assets within that REIT. And that REIT trades very poorly in the secondary market because it says no single asset REIT, has very low liquidity and investors are basically stuck with that REIT having difficulty in selling their shares. So I think merging a group of those REITs to create a large one headed by our VBI partner is a great opportunity. Within VBI, we have three fematic [ph] REITs, one focused on corporate, the other one focused on logistics, the other one focused on credit related instruments in the real estate market, what we call in Brazil the CRIs and there I think we have so much to do on those fronts in consolidating other REITs in those themes that I just mentioned. So there's so much -- we manage around R$5 billion of REITs in R$220 billion market. So you can imagine what we can do there. We see the same in a lesser extent in Chile, but an interesting and significant market in Colombia and a very large market of these real estate REITs in Mexico. And if we are successful in Brazil, I think we can have the goal, the aim to do the same in these other countries that I just mentioned. Also think on the development, real estate product, which are drawdown in nature what we call real estate private equity to use the expression that we use in our industry here. Also very interesting too products that are now -- with the targets, of course, higher returns, but takes on the development risk contrary to the REITs that buy already mature assets. And I think there, I think there's a room for expansion as well as the economies in the region are back to their growth pattern. We saw Brazil growing around 3% and then a little notch higher than that last year and 1.5% to 2% something percent this year; same in Chile, same in Colombia, same in Mexico, again, the whole needs for these real estate investments. And if we -- and emphasizing also the whole near-shoring and friendly shoring that I mentioned in my earnings call, Mexico on that front I think really stands out, because it will need a lot of investments in logistics and also factories, whatever and the real estate market in Mexico I think we'll be looking to take part of this near-shoring thesis. So we're very excited with this opportunity. We tripled our AUM in the real estate space in Brazil last year, mainly through the acquisition of VBI. And I think we really look forward to continue to expand this space. Lastly, as we do expand within the REIT market, it is a permanent capital structure product. So that also is extremely interesting for us because it does give us predictability in our future earnings because of the permanent capital nature of the product. So I hope we answered your both questions. Please advise us if we missed anything.
Beatriz Abreu: No, that's very clear. Thank you.
Operator: Thank you. [Operator Instructions]. I would now like to hand the conference back over to Mr. Alex Saigh for closing remarks.
Alex Saigh: Well, thank you very much, again, for your participation in this call, your patience to go through this 50 minutes, an hour with us. I think as all of us mentioned here, Ana, Marco and Josh, myself, Alex, are extremely pleased with 2022 results. I think we did manage to hit our targets and the targets that we actually designed for 2022 and late '21, when we had a different world environment and a different market for alternative assets.  As we look into '23, I think we're confident that we're going to be able to deliver again on our $150 million guideline for FRE and hopefully be able also to convert some of that performance fees into realizations throughout the next years. We have over $400 million of inventory, right, of performance fees. And some of our funds, namely our infrastructure fund III are already in the carry mode or carry status. So thanks again.  And I also want to again congratulate the team for an amazing year. Far from easy, but I think the team managed to perform. We wouldn't be having this call here if it were not for the team, their competence, their dedication, and congratulate Ana as well here on her new CFO role. So as we go through '23, Ana will be taking more of a protagonist role here in our finance department as a CFO as Marco leaves our corporate development side and looks for additional exciting acquisition opportunities for Patria.  Thanks, again. Hope to see you soon. And have a great week. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.